Operator: Good afternoon, ladies and gentlemen, and welcome to Gulf Island Fabrication, Inc.'s conference to discuss the fourth quarter and full year 2024 results. All participants will be in a listen-only mode for the duration of the call. This call is being recorded. At this time, I would like to turn the floor over to Miss Cindi Cook for opening remarks and introductions. Cindi, please go ahead.
Cindi Cook: Thank you, and good afternoon. I would like to welcome everyone to our fourth quarter and full year 2024 teleconference. Our results were released this afternoon, and a copy of the press release is available on our website at gulfisland.com. A replay of today's call will be available on our website after 7 PM this evening. Please keep in mind that the press release and certain comments on this call include forward-looking statements, and actual results may differ materially. We would like to refer everyone to the cautionary language included in our press release and to the risk factors described in our most recent Form 10-K and subsequent SEC filings. Please also note that management may reference EBITDA, adjusted EBITDA, adjusted revenue, new project awards, and backlog on this call, which are financial measures not recognized under US GAAP. As required by SEC rules and regulations, to the extent used, these non-GAAP financial measures are reconciled to their most comparable GAAP financial measures in our press release.
Operator: Today, we have Mr. Richard Heo, president and CEO, and Mr. Westley Stockton, executive vice president and CFO.
Richard Heo: Thank you, Cindi. Good afternoon, everyone, and welcome to our fourth quarter and full year results conference call. I'm happy to be here with you this afternoon, and I hope that each of you and your families are continuing to stay healthy and safe. During today's call, I'll provide key takeaways from the quarter, a review of end market trends, and an update on the progress we have made on our strategic initiatives. Wes will then discuss our fourth quarter results in greater detail and provide some commentary on our outlook for 2025. We'll then open up the call for questions and end with some closing remarks. As I look back on 2024, I'm extremely proud of everything we've accomplished during the year and the progress we made towards our strategic goals. Through our focus on our small-scale fabrication business and the expansion of our services capabilities, we've developed a business that is more durable and predictable through the cycle. And we demonstrated our ability to generate strong financial results without any meaningful benefit from large project awards. During 2024, we generated revenue of $159 million and nearly $13 million of adjusted EBITDA from our small fab and services business. Importantly, we were able to convert this to roughly $13 million of free cash flow, which allowed us to further strengthen our financial position and end the year with just over $67 million in cash and short-term investments. As we look to 2025, we continue to be encouraged by the bid activity for our fabrication offerings and remain focused on expanding our presence in markets outside of oil and gas such as infrastructure, government, and high-tech manufacturing. Our success with our NASA project during 2024 demonstrates our potential opportunity in markets outside of our traditional oil and gas markets. These end markets place a premium on quality and schedule certainty, areas we have a proven record of delivering. We're also starting to see initial bidding activity in nuclear and data centers and hope to demonstrate to those customers our ability to lower their total cost uninstall. As it relates to our large fab opportunities, I have been encouraged by the recent pickup in dialogue with customers whose projects have been stalled due to measures put in place by the prior administration. The lifting of the ban on LNG projects has led to a resumption of activity in this market. However, we're still in very early stages and the timing of any large project awards is always difficult to predict. But we have been encouraged by the uptick. Importantly, the favorable structural drivers for the fabrication markets remain in place as there continues to be limited fabrication capacity in the market for the anticipated project opportunities in our backyard for the next two to three years. As a result of the anticipated pickup in construction activity in the Gulf Coast region, we're starting to have conversations with customers regarding capacity reservations. We don't anticipate many of these large fabrication projects being awarded until the back half of the year at the earliest, as these contracts take time to negotiate. That said, we will remain disciplined and continue to build on the foundation of small-scale fabrication while we wait for the right large project opportunity. Looking at our services business, the project delays that have been impacting our services activity mostly within our Spark Safety offering appear to be subsiding. Additionally, our recently launched cleaning and environmental services business, or CES, is beginning to see increased volume as decommissioning activity gains momentum. We believe our investments in this business were well-timed and are excited by the opportunities in this market. While we are encouraged by the improved activity for Spark Safety and CES, we are projecting lower activity levels in our core services business in 2025 as our customers are forecasting lower capital spending levels in the Gulf of America. This is being driven by lower demand for crude and the resulting lower margins. We are fortunate to have a diversified base of services to maximize our value to our customers, and we'll continue to build on this base as our customers continue to look for integrated solutions. As it relates to our shipyard division, as we have discussed, we substantially completed our remaining operational shipyard obligations at the end of 2023. The warranty periods for our seventy vehicle ferry and one of the forty vehicle ferries ended in 2024. And the warranty period for our remaining forty vehicle ferry ends later this month. At the end of last year, we noted that we submitted our final claim to the North Carolina Department of Transportation. Our claim was rejected, which was not a surprise, and we have moved forward with legal avenues to recover previously incurred costs associated with the forty vehicle ferry projects resulting from the customer's design deficiencies on the vessels. Overall, we're very pleased with our financial results during 2024, which came despite some market headwinds, highlighting the resilience and stable foundation of our small fab and services business. We enter 2025 in a strong position to continue executing on our key strategic pillars, and we're focused on continuing to grow our small-scale fabrication business, growing and diversifying our services business, and further strengthening our project execution. Importantly, we're in an extremely attractive position to execute on our capital allocation strategy. We have a stable base of business that benefits from strong free cash flow conversion and a balance sheet with nearly $70 million of available liquidity. This provides us with ample financial flexibility and enables us to balance opportunities for investments in organic growth, strategic acquisitions, and the potential for return of capital to shareholders. Specifically, in 2025, our capital allocation priorities will focus on continuing to invest in the business as we have done in the past by adding service lines organically, including hiring key personnel to help us drive growth in our existing services and penetrate new markets. We also remain committed to continuing to pursue acquisition opportunities where our growth initiatives can be amplified. We'll pursue the best path to deliver shareholder value, which will continue to include capital return opportunities if we are not able to find sufficient growth investments that satisfy our risk-return hurdles. Gulf Island Fabrication, Inc. is in a strong position with solid optionality, and we're looking forward to building on this foundation. I'd like to thank all of our team members across the organization for their continued hard work and dedication to our strategic goals, and our shareholders for their continued support of Gulf Island Fabrication, Inc. I'll now turn the call over to Wes to discuss our quarterly results in greater detail.
Westley Stockton: Thanks, Richard, and good afternoon, everyone. I will discuss our consolidated results and then provide some additional details regarding our segment performance, putting in context the factors mentioned by Richard and their impacts on the quarter. I will then conclude with a discussion of our liquidity and full-year financial outlook. Now turning to our quarter results. Consolidated revenue for the fourth quarter of 2024 was $37.4 million, essentially flat from the third quarter of 2024, but down from $44.6 million for the fourth quarter of last year. The year-over-year decline was driven primarily by lower services revenue. Adjusted consolidated EBITDA was $3.7 million for the fourth quarter of 2024, up from adjusted consolidated EBITDA of $2.9 million for the third quarter of 2024, but down from $6.6 million for the same period last year. Adjusted consolidated EBITDA for the current quarter excludes EBITDA of $1.1 million for our Shipyard division, and for the prior year quarter excludes the impact of our shipyard division and net gains from insurance recoveries, and costs associated with damage previously caused by Hurricane Ida. Specifically for our services division, revenue for the fourth quarter of 2024 was $18.8 million, a decrease of 23% compared to the fourth quarter of 2023. The decrease is primarily due to lower new project awards, driven by less offshore maintenance activity, and delayed timing of Spark Safety project opportunities. Services EBITDA for the fourth quarter of 2024 was $1.4 million or 7.4% of revenue, down from $3.2 million or 13.2% of revenue for the prior year period. The decline was primarily due to lower revenue, a less favorable project margin mix, and ongoing investments associated with the division's CES business line. For our fabrication division, revenue for the fourth quarter of 2024 was $19.6 million, a decrease of $1 million or 4.9% compared to the fourth quarter of 2023. The prior year period included the benefit of the favorable resolution of customer change orders. Absent this prior year benefit, we experienced year-over-year revenue growth in our fabrication division due to higher small-scale fabrication activity for the current period. Fabrication adjusted EBITDA for the fourth quarter of 2024 was $4.6 million, down from $5.4 million for the prior year period. Adjusted EBITDA for the prior year period excludes the benefit of gains from the net impact of insurance recoveries and costs associated with damage previously caused by Hurricane Ida. The year-over-year decrease in adjusted EBITDA was due to the previously mentioned change orders, which benefited the prior year period by $3.8 million. Excluding this impact for the prior year, EBITDA for the current quarter improved relative to the prior year quarter due to improved utilization of facilities and resources, driven by the increased small-scale fabrication activity, lower overhead cost, and a higher margin project mix. For our corporate division, EBITDA was a loss of $2.3 million for the fourth quarter compared to a loss of $2 million for the prior year period, due to higher incentive plan costs and costs associated with initiatives to diversify and enhance our business. With respect to our liquidity, we ended the fourth quarter with a cash and short-term investments balance of approximately $67 million, consistent with our balance at September 30th, as the benefit of our operating results for the current quarter were partially offset by working capital increases during the period, the first principal payment on our debt obligation, capital expenditures, and the repurchase of 59,000 shares of our common stock under our share repurchase program. As of year-end, we have remaining authorization to purchase approximately $3.7 million of our common stock under the program, which expires in December 2025. For the full year 2024, we generated free cash flow of $12.9 million, representing our operating cash flow less capital expenditures of $5.3 million. Given our NOLs, strong balance sheet, and anticipated lower capital needs for 2025 relative to 2024, we expect a high EBITDA to free cash flow conversion rate for 2025. As of December 31st, our debt obligation associated with the resolution of our NPSV litigation was $19 million, down from $20 million at September 30th, as a result of our first annual debt payment made in December. As a reminder, our annual payments of principal and interest of approximately $1.7 million will be made in December of each year over the remaining 14-year term of the obligation. Our cash balance and the long duration of our debt put us in a strong liquidity position and provide significant flexibility to pursue our growth objectives and evaluate opportunities to return capital to our shareholders. And finally, turning to our outlook and capital requirements for 2025. As Richard discussed, we continue to be encouraged by the pickup in bidding activity for large-scale fabrication. Further, the project delays impacting our Spark Safety business line have begun to subside, and the CES business line is beginning to see increased volume as decommissioning activity gains momentum. However, while these trends are encouraging, given the uncertainty and the timing of any potential large project award, and our expectation for lower capital spending by our services customers in the Gulf of America during 2025, we currently expect our full-year 2025 consolidated EBITDA to be less than our 2024 adjusted consolidated EBITDA of $12.8 million. And with respect to our capital requirements for 2025, we anticipate our capital expenditures to be approximately $2 million to $3 million, related primarily to our ongoing maintenance capital needs. This concludes our prepared remarks. Operator, you may now open the line for questions.
Operator: Great. Thank you. At this time, we'll be conducting a question and answer session. You may press star two to remove yourself from the queue. For participants using speaker equipment, it may be necessary to pick up your handset before pressing the keys. One moment, please, while I poll for questions. Our first question is from Martin Malloy from Johnson Rice. Please go ahead.
Martin Malloy: Good afternoon. Congratulations on the strong quarter.
Richard Heo: Hey. Good afternoon, Marty.
Martin Malloy: First question, just want to try to get some more detail or information about the opportunity set that you're seeing there for the fabrication segment. I think you mentioned nuclear and data center in your prepared remarks, and with the change in administration, it seems like LNG activity along the Gulf Coast is picking up. And seems to be a trend towards modular liquefaction facilities and just trying to get a better idea of what you're seeing out there in terms of the opportunities for you for bidding.
Richard Heo: Yeah. No. You know, we've been talking about on the LNG front, again, a significant amount of opportunities just if you look at the projects in Texas and Louisiana, there's quite a bit of volume of steel projects that have been put on hold from the prior administration that I think, you know, will move forward. We're already seeing signs of it. We're having conversations with customers, key customers. As we talked about in our prepared remarks, though, these are large projects, and they take a long time to get moving, even with the pause being lifted. So, you know, we anticipate momentum in the back half of the year with regard to these LNG plants. And as we've discussed, you know, we're bidding on a few key projects that I feel we're in a good position for. As it relates to the data centers and nuclear projects, we've been bidding data center various data center projects on and off. But, you know, it's one, very competitive, that market is. And some of the things that we're bidding are just pretty simple structural steel, so there's really very little value add. So we are trying to, you know, use kind of this opportunity to discuss with our potential end users and customers to maybe move up the food chain with regard to the quality of fabrication, you know, things that were really our footprint and our capabilities can stand out and really add value to the overall end user. And then Marty, we've seen really a pickup in activity with regard to nuclear here in the past couple of quarters. And, you know, the challenge there is that these projects aren't going to happen immediately. But we're fielding RFQs from various customers on nuclear projects. So we're really bullish on the fabrication side of the business, you know, as we've discussed. We got a great facility in Houma, Louisiana, a big yard that shows well. We've put a lot of capital upgrades in the past two years where I think we could take advantage of the improvements that we've made in the yard and time this opportunity for end market growth.
Martin Malloy: Okay. Great. That's very helpful. And then for my second question, you've got a strong balance sheet over four dollars a share in cash. Can you maybe talk about what you're seeing in terms of the pipeline of maybe acquisition opportunities that you're evaluating or is it increasing, decreasing in the quality?
Richard Heo: Yeah. This is really where it's a little frustrating. We do have the cash and our primary objective is to go do an acquisition that's strategic. And it's just that, you know, the bid ask or the, you know, what we want to pay for and what the sellers want to get for it. It just the spread's been more than what we, you know, we've anticipated. We're still looking, and it is a challenge, but it is a very primary objective for us to add, you know, add growth through acquisition.
Martin Malloy: Great. Thank you very much.
Richard Heo: Well, in closing, I want to thank our customers and shareholders for their continued support as well as recognize our employees who continue to demonstrate a commitment to Gulf Island Fabrication, Inc.'s success. We thank those on the call, thanks again for your interest in Gulf Island Fabrication, Inc. If we're not able to connect during the quarter, I look forward to speaking with you on our next conference call and updating you on our progress. Be safe. Take care.